Operator: Good morning, ladies and gentlemen, and welcome to the AGI Q4 and 2020 Year-End Results. At this time, all lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session [Operator Instructions] This call is being recorded on Wednesday, March 17, 2021. And I would now like to turn the conference over to Tim Close. Please go ahead.
Tim Close: Good morning, and thank you for joining Jim and I to discuss our results for Q4 2020, as well as our outlook for 2021. Note that we have amended our disclosure this quarter to include additional detail on our Food and Technology businesses. These are relatively new segments within AGI, which have come together over the last couple of years. Both segments have unique characteristics, which warrant breaking them out to provide more clarity on their demand drivers and opportunity set. Both segments have also had strong growth with significant momentum, so the timing was appropriate to add detail and discuss in more depth. Q4 capped off an unusual year that highlighted the progress we have made in transforming and diversifying AGI into a global business with strong platforms in each of the strategic regions and products that form a strong foundation for our continued growth and success. AGI is now uniquely positioned to accelerate our growth in our targeted markets. Our North American business is a dominant player in providing equipment solutions to grain and fertilizer markets. We've established a solid foothold in Brazil, where we continue to gain market share. We have a leading rice equipment business in India. Our EMEA and Asia Pacific businesses are now also earning significant share and expanding from a solid base. Our Food platforms have come together over the last two years to be positioned for exciting growth. And our Technology business is rapidly growing both in customer adoption and capabilities. This AGI is fundamentally stronger, less cyclical and better positioned to accelerate our growth than ever before in our history. 2020 was also a transformational year for our people and the structure of our business. We have built out and strengthened each of our regional leadership teams. We now have all regions represented on our SLT. That means we are positioned to be better partners with our customers in each region. This regional strength was demonstrated in our 2020 results, which saw COVID and regional cyclical elements result in sales declines in some of our traditional segments. However, the newer components of AGI more than offset to turn in a solid performance in a challenging year. We ended 2020 at $1 billion in trade sales, our first year reaching this milestone in sales volume. Adjusted EBITDA grew 3.5% for the year to $149 million. While adjusted EBITDA margins inched up by 50 basis points in the year, despite the project delays, product interruptions and logistical challenges within the year. Q4 sales were flat year-over-year. However, adjusted EBITDA grew 20% in the quarter due to a favorable product mix and operational efficiency gains at several locations, including EMEA, Brazil, and in our portable segment. As mentioned, with the growth in Technology and Food, we have begun breaking out these key components in our MD&A to highlight strategic impact and value of these businesses. These two segments are unique within AGI and a key focus in 2021 for Jim and I will be on communicating the characteristics of these businesses, along with the total addressable markets and potential for the segments of AGI. This morning, we will focus on the Technology platform, given the large strategic impact the segment is having across all of AGI and given the spotlight that has been focused on AgTech, as the world wakes up to the digital transformation happening in agriculture. Along with the new segmentation, we are also completing the work to carve-out AGI SureTrack from an accounting, legal and incentive perspective to formally create a business within a business. While the Technology business is deeply aligned and integrated within AGI, this functional carve-out is in recognition of the unique aspects in terms of culture, people, pace and innovation that is required to provide a fast-growing technology business with the oxygen and fuel for growth and success. AGI SureTrack is built on a foundation of IoT products, which establish deep, long-lasting relationships with our customers. These IoT devices generate rich, robust and very practical operational data that feeds into our three key software platforms: AGI SureTrack Farm, SureTrack Pro and our Grain marketplace. The Farm platform is a system of record that automates the collection of all data across a farm and provides the farmer with an operating system to collect, monitor, operate and manage their operations, including inputs, production activity, and final product management. The Farm platform is an agnostic place for the farmer to own and share all their data with their advisors, including farm employees, agronomist, bankers, insurance partners, as well as carbon and sustainability markets which are now starting to rapidly take form. All of these stakeholders require robust, verifiable and easily transferred and digestible data, which is exactly what we deliver in AGI SureTrack Farm. On the commercial side, we provide all the IoT and hazard monitoring sensors for our commercial grain and fertilizer operator to monitor and operate their facilities to maximize safety and productivity. This platform then extends to become a supply chain management tool through our grain marketplace, where a grain buyer can easily locate grain, bid for grain and interact with the farmer then manage the logistics and fulfillment of each contract. With the farmers consent, the grain buyers can also view the grain they have contracted to purchase to monitor the temperature, moisture, CO2 conditions of the product, and also view the content of each load of grain that went into the bin. They can see the protein, oil and starch content of what they are buying. The farmer can also often to provide additional data on the grain, including the seed application and conditioning records for that grain. The buyer can easily access the nutrient application for that field. The buyer can access fuel usage on the field or fields that the grain was sourced. The buyer can verify the farming practices utilized in the production of that grain. The buyer can access the data to verify the carbon footprint of the growing and conditioning activity for that grain. Robust data that is critical for the emerging carbon sustainability and traceability markets, we are working to leverage and expand our capabilities of these markets. Important to note here that AGI’s approach to AgTech is significantly different from a data perspective. SureTrack is a tool for farmers to manage their business, and accordingly all data is owned and controlled by the farmer. It is not connected to a supplier nor is it connected to an advisor. The farmer can use the data as they would like and share or utilize the data to run their business as they see fit. As obvious as this sounds much of AgTech is seeking to use, control or otherwise restrict the usage of its farmer’s data. The AGI approach sets us apart and is a strategic benefit for us in this space. We sell the SureTrack platforms through three principal channels: direct-to-farm, direct-to-commercial users, including grain buyers and food processors. We also sell the IoT hardware through our extensive dealer networks. We have approximately 1,000 AGI dealers just in the U.S. and we are working to onboard additional SureTrack specific dealers to significantly increase our reach and distribution of our IoT products. We design, manufacture and install the IoT sensors and hardware that form a unique portfolio of IoT devices that are embedded in our customers’ operations. We supply these devices to both farm and commercial customers and the product portfolio includes weather stations, soil probes, grain bin monitoring, sensors for moisture and temperature and CO2, inventory sensors for fuel tanks, grain and fertilizer bins, driver monitoring and controls, fan actuators to automate grain conditioning. We also supply the Farmobile PUC, a device that is installed on field equipment, including planters, applicators, and combines to record and transmit machine and agronomic data to our platform. The Farmobile PUC is agnostic to equipment brand, provides two way, very accurate data that is fed live off the field. The data is cleaned and standardized to make it very easy for the farmer or their agronomists to use. In the commercial space, we have sensors that go on bearings and belts in our handling equipment to provide constant monitoring of critical equipment to ensure safe operation and detect issues that would impact operational uptime. Commercial sensors also include proximity sensors, vibration sensors, rotational sensors, and other sensors that measure temperature activity that would indicate operational issues. We are developing additional devices to add to this IoT portfolio that will effectively turn all of our products into IoT devices, feeding back data to our customers and extending their ability to monitor, operate and automate more of their operations.  As mentioned, these IoT products form a unique long-term relationship with our customers that is very sticky, as our products become integral part of operating these businesses. The IoT capabilities fundamentally change the functionality of our equipment and differentiate our equipment from the rest of the market. The data gathered from these devices then creates the opportunity to provide our SureTrack software solutions. Now let's turn to look at the addressable markets and scope for this business. There are roughly 1.2 million farms in the US and 65 million farms in Canada that are focused on grain. We believe that all farms will become digitally engaged. They are already starting that engagement in terms of cell phones and tools in the cabs, to their combines and field equipment, combines with auto-steer, sectional control, precision plant and apply capabilities are now common across these farms. This digital engagement will extend to all equipment across the farm. Our commercial customers will also deploy technology across their entire operations, both in terms of their equipment and in their supply chain management. From a facility perspective, our commercial customers will deploy out the IoT sensors across their entire operations to achieve digital engagement with all components of their system to monitor and automate the facilities to make significant gains in productivity and gain back or enhance their operating margins. Digital tools also mean reductions in downtime, and increased safety and productivity. Now moving to the software platforms. We are in the early days of developing rep [ph] both platform usage of our capabilities. We charge an annual platform fee for each of the software platforms. We are currently focused on adoption of platforms as we build awareness of the capabilities. We fully expect to create additional means to drive revenue from the software platforms. As reported in our segmentation, we have $36 million in retail equivalent sales in our Technology business in 2020. The total addressable market for SureTrack includes both the IoT device market and then an annual SaaS payment market. We believe that the total addressable market just in North America is well over $10 billion for IoT devices, as well as a SaaS market of well over $2 billion annually. Our Technology business is an immense opportunity for AGI. We'll be aggressively building out our IoT and software platforms going forward. Before I hand the call over to Jim for additional detail, I like to briefly touch on 2021 and the outlook for the year. We are seeing very robust markets across both Farm and Commercial and in most regions. Backlogs have continued to increase from the end of 2020 and are now up 40% over this time last year. Some of this is timing and is unique to certain circumstances in 2021. The exceptional steel price increases have driven sales to walk in [ph] product in advance of this increases. Higher planting intentions are driving demand. We're also seeing market share gains in the US, Brazil, India, EMEA and in portable equipment in North America. Strong crop prices are supporting this positive environment. Altogether, so this positions us for strong expectations for 2021. With that, I will turn the call over to Jim for additional detail on the quarter and the outlook.
Jim Rudyk: Thanks, Tim. And hello, everyone. For this earnings call, I would like to cover four topics. First, I want to take some time to explain the additional disclosure we have provided in our MD&A this quarter. Next, I'll provide a brief overview of our financial results. Third, I'll discuss our liquidity position. And then finally leave you with our thoughts on how the year is shaping up so far. To start off, you will notice that we have provided more detailed information in our MD&A about our business. We've always described our business as operating in what we call either the Farm or Commercial segments. These two broad segments operate in Canada, the US and international regions. However, the business is much more diverse now, and warrants further detail to help you better understand how we are doing and where the opportunities are for us going forward. Within our Farm segment, we have provided information about our sales of equipment and services to farms, as well as carved-out our fast-growing technology platform. On the Commercial side of the business, we have broken out sales of equipment and services to large commercial operations, that is non-farms, as well as sales to the food processing sector. And for each of these four business areas, we have provided sales and sales backlog information now for Canada, the US, EMEA, Asia Pacific and the South American regions. In addition to the above added disclosures, for the Technology platform, you will see we have provided two different perspectives to help with our - with your analysis. Our Technology business consists of selling IoT hardware, software subscription services, and other services such as warranty. We have historically sold all three of those items using a subscription fee sales model. However, starting in 2021, we will now be selling our IoT hardware and other services upfront, and continuing with the subscription model for just the software. We call our new approach the retail equivalent view, and we believe it provides more useful information to help assess how the business is operating, particularly in a high growth environment. So as we talk about how the Technology business is doing, we will generally talk about the retail equivalent view. Okay with that disclosure update out of the way, let me discuss our Q4 and full year results. Our Q4 results were in line with our expectations. Trade sales were $227.4 million versus $229.6 million last year, as sales growth in our Farm, Technology and Food businesses offset the lower sales in our North American commercial business. For the full year, overall trade sales reached the $1 billion level, which was marginally greater than the prior year. Our diversification strategy helped us offset the weakness we saw in the North American and EMEA commercial segments with strength in our Farm, Technology and Food business platforms. Adjusted EBITDA for Q4 was $27.8 million versus $23.2 million in the prior year. The higher adjusted EBITDA was primarily the result of strong gross margins. Our gross margins improvement was due to a favorable mix of farm sales versus commercial sales, which are traditionally at slightly higher margins, as well as the operational efficiencies and leverage we are getting from our growing Brazil and EMEA locations. Adjusted EBITDA for 2020 was $149.3 million versus $144.3 million in 2019, very strong results in a very tough year. The increase versus prior year is again due to our strengthening gross margins. Mix did play a part in the increase, but we continue to see improving margins across our businesses as we benefit from our historical investments. As a percentage of sales, our adjusted EBITDA margin in Q4 and full year 2020 was 12.2% and 14.9% versus 10.1% and 14.4% in 2019. These strong results were driven by the large improvement in gross margin and our steady management of SG&A costs. Now let's take a look at our liquidity position. As we talked about last quarter, improving our liquidity position is a big priority for us. In Q4, we continue to make progress reducing our senior debt to EBITDA ratio, which ended the year at 2.53 times versus 2.65 times at the end of 2019. At the end of 2020, we had over $194 million in available undrawn credit facilities and approximately $62 million of cash on hand. We do not have any bank covenant concerns. Our strong results reduced growth CapEx needs. Our focus on reducing our working capital requirements and our reduced dividend payout, will continue to give us higher free cash flow and a much stronger balance sheet. Finally, I'd like to end with a quick recap of our outlook. Our backlog position across all segments and geographies has never been better. Overall backlog at the end of the year was up 21% versus the prior year and continues to grow. This sets us up for a strong 2021. We will have some headwinds to deal with, including the meteoric rise in steel costs, as well as the weakening US dollar. But overall, we feel very good about growing both sales and adjusted EBITDA in 2021. Our focus in 2021 will be to continue to leverage our investments around the world to improve margins, grow organically, pay down debt, and accelerate the value creation opportunities in our Technology business. Thank you very much for your time. And with that, we will turn it back to the operator to take questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] First question comes from Jacob Bout at CIBC. Please go ahead. Can you please unmute your line, Jacob?
Jacob Bout: Sorry. Can you hear me now?
Tim Close: Yes. Hi, Jacob.
Jacob Bout: Yes, perfect. Good morning. So my first question is just on EBITDA margins for 2021. What are your expectations there? Maybe talk a bit about how rising steel costs plan to this? And in your mind, do you think you’ll get back to the 16%-plus type EBITDA margins?
Tim Close: Hey. Good morning, Jacob. Yes, great question. So steels are extremely dynamic, as you know, pretty close to unprecedented movement in around the world in steel. So we do expect an impact, particularly in Q2. And then we expect, though, we are and expect to continue to pass along those steel price increases. And as we move into Q3 and Q4, we'll be able to moderate that impact. So Q1, not a - we expect to be fairly - well, less of an impact, Q2 is where we really expected to be more pronounced, and then moderate into three, four.
Jim Rudyk: Yes. And I’ll just add on to that, Jacob. Overall, when we look at the full-year EBITDA margins, your comments about in the sense of, we're marching up towards historical numbers that are 100 to 200 basis points higher than what we've currently been delivering, primarily as a result of all the investments we've made in automation, the benefits we're seeing now, as Brazil continues to scale, and our facilities around the world continue to benefit from improved economics, from scaling. However, the challenges this year anyway, particular that we'll manage through is the steel costs, as Tim alluded to. The weakening U.S. dollar is bit of a headwind for us as well that we've got to manage through. And then the other thing to factor in, in your analysis, is the mix of our businesses. So as I mentioned on the call, our Farm business is a slightly higher in gross margins than our commercial businesses. And so as that – as the commercial business rebounds in 2021, you may have a bit of an offset in terms of an overall impact to our EBITDA margins, as a result of that, nothing bad, but just the mix may influence some of that in the short-term because of the bounce back.
Jacob Bout: Okay. And then on the backlog, very strong as of year-end, but some weakness on the Canadian Commercial and Food, I think, was the one standout for me. Are you seeing the same trend in mid-March? And maybe you can talk a bit about the driver of this and what turns us around?
Tim Close: Yes, No, look, our Food business really is focused in the U.S. and international. So it's not a big item in Canada, I think, you're specifically talking about it. Overall, our Food business is doing very well and backlogs and pipeline are very strong. So it wouldn't be - it's a matter of where the – our food processing customers are expanding in any given year. And I mean, I've extended that comment to the Canadian commercial. There's - all of the traders, the global traders are allocating capital on their footprint, their infrastructure globally. And you'll see regional ups and downs. And it's why, in fact, we've aggressively pursued a global footprint and capability to be able to be relevant to our customers in every region. So when they're building out Canada, as they did over the last three, four years, we're in the region and can partner. And then when those shift to other regions, we’re likewise able to partner with them. So, fully expected to see a moderation in commercial in Canada. But we also believe some of that or not - we don't, not some of it a good deal of it in 2020 was due to COVID. And we're already seeing a rebound in that quoting activity, particularly in the East. We expect the West to come back as well. Fundamentally, the more infrastructure you build, the more maintenance and ongoing, retrofit and where tariff, you’d expect to be able to contribute to volumes going forward. So nothing surprising or unexpected in my view of them.
Jacob Bout: Last question here, just on the Technology side. And thank you for breaking that out in the commentary that you've given today. Maybe you could just help us with your expectations for both hardware and subscription services growth over the next three to five years?
Tim Close: Look, we've got robust expectations. As I said in the comments, we believe every farm will be digitally engaged and that adoption is already started and will ramp up, I think, significantly going forward. In North America, in particular, I think we get to every farm being digitally engaged from an operational perspective and extension beyond just sort of the field technology that's more and more common. It's going to - like every business, every industrial business, in particular, all - there's a baseline expectation and ability to connect to their operations and automate the generation or collection of that data. So these are over us. So from an IoT perspective, these are robust markets with just an enormous amount of growth potential. So our objective is to outfit each farm with that full suite of IoT sensors. I think we're - from an IoT product portfolio, we are a leader in product type depths, in terms of looking on both field activity, and then all of the surrounding equipment and activity that the business of farming habits, to the extent of – that field is essentially your production space. But the infrastructure around it is critical to your input and then your final product. And our offering uniquely extends and includes all of that, the business of farming, not just production, as important as that is obviously. So we have very robust expectations based on that the reality of the product depth. Our relationships where we have - we have equipment on most farms in North America and we have the most extensive distribution channels in the space as well. So all said, very, very robust expectations for growth.
Jacob Bout: I'll leave it there. Thank you.
Operator: The next question comes from Steve Hansen at Raymond James. Please go ahead.
Steve Hansen: Yes. Good morning, guys. I'll stick on the Technology theme here just for a moment. Just thought - and again, thank you for the disclosure. Tim, at first glance, it does strike me that a large portion of the revenue you're disclosing here is hardware-related versus recurring subscription. You even add a threshold slightly off or below the broader TAMs that you described, I believe. So just could you perhaps walk us through what the plan is to walk up that recurring revenue base would be over the time? What are the specific services that you're planning to add? Or how should we think about the growth of that, that SaaS-related piece specifically?
Tim Close: Yes. Great question. And good morning. The IoT hardware is critical in terms of generation of the data for our customers. Without the IoT suite of products, you don't have data, you don't have automated data, and you don't have a SaaS or software offering. So the - you know, the importance of the IoT, I just can't overemphasize. As that IoT adoption expands, then that just enriches the software offering. So the hardware sale is every bit [ph] or more important than the software platform, obviously, they work hand in hand, and distinctly different types of revenue, though, you know, our hardware sales are more of that upfront equipment type revenue. And then that enables, though, the ongoing build of the software platforms and the SaaS model. So hand in hand and the IoT strengthens, and really differentiates the software offering.
Steve Hansen: Okay, helpful. And just maybe, is a question related to that, then in the strength [ph] of it, you know, importance of that lead sort of sale, if you will. Have you guys thought about discounting that to any degree, as you're likely aware, there is a land grab going on, and many of the other players, not direct competitors, of course, but any other players in the broader AgTech landscape or discounting upfront sales to get faster adoption. I mean, how do you think about that trade-off?
Tim Close: Well, I mean, we've got programs going on right now in across IoT, that do make the hardware extremely price competitive in the market. We’re bundling the IoT sensors with our products at a very good value all in and we take the approach, but one is launching over the next couple days. Our smart bin offering is an example you can get a AGI smart bin, at a very small premium over sort of, what can you call it, a non-connected bin. So yes, we've got programs, marketing programs, pricing programs, and bundling programs that are launching and more coming. I think fundamentally, if you look around the AgTech spaces, if the product is being provided to you, I guess beyond AgTech, if the product is being provided you with you for free, then, you know, the reality is you're not the customer, you're the product. And, you know, as I said in my notes, we take a uniquely different view. This is - the data is owned by the farmers for them to use in their business and manage their operations. And so while we don't take a free approach, because in fact, we're providing exceptional value and exceptional product depth for and not utilizing that in other ways. And I think that model is what wins. I think it's one the customers appreciate, just like all of us as consumers. From a personal consumption perspective, we certainly more and more recognize where something is free, there is, you know, it is too good to be true. And there's - your bank grow [ph] one way or another.
Steve Hansen: Okay, helpful. And then just one follow up here, if I may, is on this remediation issue. I am struggling with this a little bit. On the one hand, it seems to suggest one of your customers is elected to go with another supplier and effectively scrapped the current facilities, that seems, you know, pretty extraordinary measures to take on their part, both from a cost and risk perspective. On the other hand, that approach also seems to suggest that you no longer need to repair and remediate that site, which could be construed as a net positive on the margin for you guys. But I think in either case, whether you lean one way or the other, it does strike me that one thing is clear, in fact better to change, but your remediation estimate is not here and nor has your messaging. So what can you tell us to get comfortable with this sort of new set of information and what we should be thinking about?
Tim Close: Yes, you know, appreciate that question. I mean, the customer - one of the customers and volunteers decided to go with a different overall solution, you know, that doesn't change our obligations in the instance. And so, you know, after, obviously, very thorough review and ongoing analysis, I mean, doesn't change our assessment. So it's a - we've walked through that point, disclose that previously, no change from our perspective.
Steve Hansen: Okay. Very good. Thank you.
Operator: The next question comes from David Newman at Desjardins. Please go ahead.
David Newman: Good morning, gentlemen.
Tim Close: Good morning.
David Newman: Just looking - going back to Jake's question on the margin. So pro forma, given the investments that you have made, and you know, certainly in Italy, and India and Brazil, as well as AgTech, overall pro forma if everything was operating, where, you know, full steady state [ph] and maturity, where do you think the margins would likely settle out at, given - you know, assuming the mix is constant?
Tim Close: I think as we – I’ll jump in, Jim you can add - build on. But I mean, as we've said in the past, nothing has really changed. We settled [ph] a lot of our investment period over the last three years and beyond dive into tools, both selling tools, and – well, a lot of it in selling tools and increase in marketing and other expenses that we expected to elevate and they come back. But that's contributed to some of the impact on margins, EBITDA margins over the last couple of years. Gross margins are holding in pretty steady. And then as we - the newer businesses, and new segments and investments come online, we expect to walk those margins back up to historical levels.
David Newman: Okay. And then just on AgTech itself. Are we going to see the sort of typical, you break it out, the typical margins that you would see in kind of a SaaS like offering in around gross margins, you know, 60%, 70% and EBITDA margin around 20%? Maybe just kind of give us some thoughts on what the expectation is there as you - as you roll it out, and you get the SaaS traction on as well?
Jim Rudyk: Yes, that's correct. I mean, these are generally higher margin of product lines, both on the IoT, and in the - and obviously in the SaaS model and bottom lines.
David Newman: Okay. And then just on the cadence of, I guess, the progression on the top line, we know the margin pressure [ph] because of steel, but just the cadence of growth quarter-by-quarter, what is your expectation there? And where I'm kind of going with that, as you were clearly getting the international market starting to really reopen here and demand growing in China and particular and all that. So where if commercial comes back in a bigger way, maybe just kind of walk us through what your thinking is quarter-by-quarter. And I have to think at some point here, infrastructure spend might weigh on the actual outlook as well to the positive?
Jim Rudyk: Yes. Great question. The – so maybe the timing throughout the year, I think is going to be somewhat unique impacted by the dynamics we outlined that have led to strong and elevated backlogs. The steel dynamics have brought a lot of back orders forward, as people – our dealers and customers look to get it ahead of the steel supply issues. So some of the backlog build is certainly timing related. And so we'll see how that plays out over the next three months in particular. So you'd expect some of the orders that might have been in July or August have been brought forward underpinned by strong demand in basically all regions, so its a positive outlook, a positive element. As I said on Q2, we expect EBITDA margin to be impacted by those steel dynamics…
David Newman: Yes…
Jim Rudyk: But a strong Q1 and we expect strong Q3, Q4 and that impact – I mean, look, steel is pretty dynamic. We expect an impact across the year, but we expect more of it to be into ahead in Q2.
David Newman: Okay. And last one for you guys. Just on the food side, obviously you’ve been able to really showcase your capabilities through this downturn with the food processors and I'm just kind of thinking like they must be gaining confidence in your capability. So, you know beyond what your backlog is, are you seeing traction in the space? Obviously, you're highlighting as a separate segment. So you must believe so, but maybe just give us your comments on how you're resonating with that your Food customers?
Jim Rudyk: Yes, another great question. The short answer is yes. And while we focused on or highlighted the Tech business this morning, on our next call we’ll spend more time in our Food business, but are getting excellent traction across the platform, and our model in general and partnering across process design, project management, equipment supply and turn-key offerings. That is certainly resonating across our customer base. And we're expanding into new markets, new customers and new offerings. So very bullish on the on the Food space, it's probably the, one of the largest total addressable markets for us, given the extensive amount and increasing amount of Food processing going on globally.
David Newman: For sure. Excellent, great results, guys. Appreciate it.
Jim Rudyk: Thank you.
Operator: The next question comes from Michael Doumet at Scotiabank. Please go ahead.
Michael Doumet: Hey. Good morning, guys. First question on just on the backlog, how should we think about the read-throughs for revenue projections? I mean, specifically, like how large is backlog at this point in the year in farm and commercial versus the respective annual sales? And what's the typical duration?
Tim Close: Yes. So we touched on a little bit this in the last question, as I noted in my comments, backlogs was strong at the end of the year has since it accelerated even more, to put us at about on an overall basis up about 40% year-over-year. And there's different components to that, some of that is timing, given the steel dynamics, bringing some more orders forward. And then we'll - but then also, as I said, underpinned by really good demand, fundamentals everywhere. Nice growth in Brazil, very solid growth and performance in India and Asia Pacific and in farm in North America. So you know, look, we'll see how these dynamics play out and order intakes in [indiscernible] moderates, as we move into the growing season, but all in all, a very positive setup for the year.
Michael Doumet: Perfect. And I'm just wondering, Tim, on the 40% backlog versus the 21%. You know, mid-March versus end of year. I'm wondering if at this point last year, you had any sort of negative impacts from COVID in backlog?
Tim Close: Good question. Let's see and as I think back to the week in March of last year, no, we would not have had started to see anything. I mean, it would have been into April, May, June, where really everybody was starting to understand the depth and impact of COVID. But at this point last year, no, we wouldn't have seen any of that as a comparable or that I think that's where you're going.
Michael Doumet: Okay. But is the number specifically the backlog is up on a sort of $1 amount, right from mid-March to the end of year?
Tim Close: Correct.
Michael Doumet: Perfect. Okay. And then on your comments for where margins can sort of land in 2021. I mean, you talked about mix shifting back to commercial, I think as a potential, I mean, do expect more growth in commercial in 2021 versus farm despite what is adjusted by backlog? I'm just trying to get that squared away. And I'm assuming that most of the growth will come from international there?
Tim Close: Well, a couple of factors here, US farm is growing very nicely, as is Brazil farm. So I think people maybe forget that farm is a big component of our Brazil business. So that balances out some of the overall international growth with the outside of Brazil international tends to be majority commercial. And so yes, that yes, that international platform is growing nicely and balanced a bit by the farm growth in Brazil.
Michael Doumet: Got you. But just in general, I mean, do you expect farm or commercial to outpace farm growth in ’21? I am just trying to think about the impact to margins there, how much that can be skewed?
Tim Close: Yes. A good question. I mean, I think it'll be slowly, but its not really impacting our combined EBITDA outlook.
Michael Doumet: Got you. Okay. And then just one last one, I mean, you touched on it a couple of times. But just to get a little bit more specific on, you know, translational and transactional sensitivity is around, you know, the appreciating [ph] Canadian dollar, if you can give some details there.
Tim Close: Yes. So we have net exposure to the US dollar. I think we've provided some estimates in the past, I think even some data in the MD&A that suggest a point change in the exchange rate is about a $1 million impact. We've got about $100 million net US dollar exposure that we try to manage.
Michael Doumet: Perfect, thank you.
Operator: The next question comes from Michael Robertson at National Bank Financial. Please go ahead.
Michael Robertson: Hey, good morning. Thanks for taking my call. So one maybe for Jim, I think you touched on in some of your open commentary on, you know, dialing back CapEx to free up more free cash flow, could you provide any sort of bookends [ph] on what that might look like moving forward?
Jim Rudyk: So historically, so maintenance - so we think about CapEx there is two components, maintenance CapEx and then growth CapEx. Our maintenance CapEx traditionally is quite low, it ranges anywhere from 0.8% to 1.2% of revenue. So we'll be at the lower end of that in 2021. And then our growth CapEx, you know, the last few years, there's been quite a bit of investment in terms of automation and building out Greenfield facilities in places like Brazil. That dialed back a fair bit this year, however, we still continue to invest, particularly in projects that have strong paybacks. So you will see some of it, but it will be on a lower then what we've done in the traditional last two to three years.
Michael Robertson: Okay. So maybe up small from 2020 levels all in, but not quite to 2019, like would you feel comfortable...
Jim Rudyk: Yes. Similar to 2020 levels.
Michael Robertson: Okay, okay. Appreciate that. That’s helpful color. The other question I had sort of related to what Steve mentioned, I'm just trying to wrap my head around the dynamic with one of the two customers from that product line, choosing to go with another supplier to resolve the issue. How does that exactly work with respect to your remediation cost estimate, because it's a situation where, you know, you're going to foot the bill for what that costs, or I'm just trying to, you know, get my head around this a bit better.
Tim Close: Yes. Whether they use us or somebody else, you know, our obligations reflect what we've been able to provide in order to remediate the site. And so, fundamentally, it's - that obligation doesn't change versus which, you know, who's doing the work in site. So very simply, we're going ahead with remediation at one of the sites, and we certainly will go and be able to have good visibility to what that remediation should include and look what it looked like.
Michael Robertson: Okay, got it. I appreciate it, guys. I'll turn it back.
Operator: The next question comes from Steven Martin at RBC. Please go ahead.
Steven Moore: Hi, guys. This is Steven Moore on for Andrew Wong at RBC. Thanks for having me on. Just one question, most of mine have been answered already. But on ESG, can you provide some of your thoughts around AGI’s approach to ESG? And do you have any plans to release a sustainability report in the future? Thanks.
Tim Close: Yes. Good question. We published our initial report, I think at the end of last year is when we put that out and then we have follow up work going on to broaden that - both the efforts and the communication of that. We've added a new member to the team specifically focused on ESG efforts across AGI, both efforts and communication. As I mentioned, we have specific products and ongoing effort in the sustainability efforts that are linked to SureTrack both on a traceability, sustainability and carbon perspective, all of the carbon markets are dependent on robust data or verification. And those carbon credits become more valuable as you get better verification. And fundamentally, you know that spectrum kind of begins with a farmer just signing off on farming practices, nutrient application or otherwise, the value of that carbon credit increases as you can back up that statement by the farmer with data. And our suite of IoT products provides the most robust source of that data in the industry. So, you know, that's a key focus for us is contributing to those markets with that rich data set. We fundamentally believe all buyers of credits will prefer at any price point, but will prefer a credit that comes with a deep verification data. And so we're focusing - a lot of efforts on that space, and then more broadly looking at, you know, everything from diversity across the entire platform, and the DNI perspective, and then each of our operations from a sustainability perspective and our own sort of carbon footprint, minimization.
Steven Moore: Good. Thanks a lot.
Operator: Thank you. And the last question comes from Steve Hansen at Raymond James. Please go ahead.
Steve Hansen: Yes, thank you. Just two quick follow ups here. Tim, firstly, just on the insurance estimate for the silo issue. I mean, it may be a moving target, I'm not sure. But you suggested a couple times now that you expect insurance proceeds to come in here. Can you give us a rough estimate at this point as to what that might be?
Tim Close: Yes. Thanks, Steve. I mean, we don't have any guidance on that, further guidance on that, and nothing's changed. In fact, it's extremely small of the overall process. And so there's – you know, way too early at this point to be able to map or provide any additional color or detail.
Steve Hansen: Okay, that's helpful. Just and second one here is on your broader footprint, and just capacity optimization. You know, we've got obviously a very strong macro cycle, it's emerging here. But at the same time, if I think back to your platform evolution here over the last sort of five to seven years, you went through a number of large acquisitions, like global and others. You've also invested significant capital into your overseas footprint, whether it be Italy or Brazil and others. But just trying to think about now how you optimize all of your capacity going forward. I know you did have one small facility, I think, for sale at one point, but just, you know, how do you feel about the broader footprint today as it stands? Are you well-serviced from a capacity standpoint, in the right places? Do you have too much capacity in the wrong places? How do you feel about that? And is there opportunity there?
Tim Close: Yes, interesting. This is a big part of what our team has been focused on over the last three, five years and to building out the right capacity. So the - some of the growth CapEx that Jim talked about, those programs that were in ’18, ’19, we've come through those programs, some of the tails into ‘20, early 2020, in Italy, in particular, but the projects like Brazil, and another capacity increases 2020, we actually, we built our IoT capacity capabilities very significantly, and so now sit with great capacity across the board. And so that feeds right into Jim’s comment on increased growth CapEx program in the in term. And then we're optimizing product offering across the platform. So we moved a lot of product to Brazil, and we've done product expansion in India, and Italy, and then across North America. So a lot of activity is going on across the board over that period of time. And then - so now we'll be more and leveraging that investment base for the foreseeable future. And that bodes well for sort of cash generation and margin profile and operating leverage across really all of the business. We don't have any facilities for sale, I'm not sure which one you're talking to, you're referring to here, but we sit really nicely from a capacity perspective.
Steve Hansen: Okay. Very good. That's helpful. Thanks.
Operator: And we do have a follow up from David Newman at Desjardins. Please go ahead.
David Newman: Just a quick one guys, as I'm modeling above the next year, on the steel costs, maybe you can just remind us on the – and I'm sure I can attract to someone else. But the sensitivity on the steel costs, I think it's 30% of your costs are there about is steel related, it's US dollars denominated. So that should give you a bit of a hedge. But is there any inventory that you're kind of working through? Or do you have hedges on steel? Just trying to understand the dynamics and how we should be modeling?
Tim Close: Yes. While this is extremely dynamic space. So we buy steel in four principal markets, in Asia Pacific, in India, particularly, in Europe or Brazil and actually five, so we break it down in the US and Canada, and so we buy in different currencies, a lot of that hedge to our revenue in each of the - each of the regions. And then steel in general, the supply chain is extremely disrupted across the board and leading to really significant price increases across the board. And then our ability to pass through slightly different in all, but in commercial generally, we pass those through on a project basis, and the retail environment in places like Western Canada, we pass those through incrementally through some price or surcharge application. And so it's not something you can generalize to say it's X percent of sales and therefore it will have this impact, it's a little bit different everywhere. But we expect there to be a drag as we - as in particular the commercial space catches up to the - the supply chain catches up to the quotes [ph] that were in backlog or the business that was in backlog. And that in fact we expect to be in more pronounced in Q2 and then come through as those our ability to pass through catches up in Q3 and Q4.
David Newman: Okay. And do you set up a - you have a price of your price list for the Farm business, when typically do you guys put out the price list for the year for the farmers?
Tim Close: So it generally comes out - it starts for any given year and starts in the prior year, the end of the prior year with end of your programming. We're working with our distributor - distribution partners to get them product and production spots, and then - that then changes throughout the year depending on things like, principally, steel activity is still in movement. And so the entire industry, like all industries have been challenged to be able to predict to moderate the monitor the steel movements. And in North America in particular, for example, there has been price increases, incremental price increases through January, February across the board, both ourselves and the rest of the industry.
David Newman: Got it. Perfect. That's very helpful. Thanks, guys.
Operator: Thank you. There are no further questions. You may proceed.
Tim Close: Okay, fantastic. Thank you for your time this morning. And we'll end the call there. Take care.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating. And we ask that you please disconnect your lines.